Matt Chesler: Good day, ladies and gentlemen. Thank you for standing by, and welcome to the TAT Technologies Third Quarter 2024 Earnings Conference Call. Please note that today's conference may be recorded. Hello. My name is Matt Chesler, and I am a partner with FNK IR, a US-based Investor Relations firm supporting Eran Yunger, TAT's Internal Head of Investor Relations. Hosting today's call is Yigal Zamir, our President and CEO, and Ehud Ben Yair, our CFO. Before getting started, we'd like to draw your attention to the fact that certain matters discussed on this call may contain forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995 and other provisions of the federal securities laws. These forward-looking statements are based on management's current expectations and are not guarantees of future performance. Actual results could differ materially from those expressed in or implied by these forward-looking statements. The forward-looking statements are made as of the date of this call and, except as required by law, TAT Technologies assumes no obligation to update or revise them. Investors are cautioned not to place undue reliance on these forward-looking statements. For a more detailed discussion of how these and other risks and uncertainties could cause TAT Technologies' actual results to differ materially from those indicated in these forward-looking statements, please see our annual report on Form 20-F for the fiscal year ended December 31, 2023, and other filings we make with the SEC. The financial measures discussed today include non-GAAP measures. We believe investors focus on non-GAAP financial measures in comparing results between periods and among peer companies that publish similar non-GAAP financial measures. Please see today's press release, our earnings release, and the Investors section of our website at tat-technologies.com for a reconciliation of non-GAAP financial measures to GAAP results. Non-GAAP financial information should not be considered in isolation from or as a substitute for or superior to GAAP financial information, but is included because management believes it provides meaningful information about the financial performance of our business and is used by investors for information and comparative purposes. With that, I'd now like to turn the call over to Yigal.
Yigal Zamir: Hi, good morning, everybody. First of all, I have to say that we are excited to be here today. It's TAT's first live earning call, and it's another milestone in the evolution of the company and in development, especially after the progress the company have made over the last few years. So, I'm really excited to be here in front of you today and looking forward to meeting you also in-person in the future conferences or other events. I'll start by saying that we are very pleased with the results of the third quarter. Company executed really well and we -- as you can see in the graph, we recorded another record quarter in revenues and profitability. We onboarded new customers. We continue working on improving our efficiencies and continuing to establish the infrastructure that TAT needs to continue supporting the growth for the coming few years. So, all in all, we are very pleased with the results. If you look at the data, and Ehud, our CFO, will present all the financials in few minutes, revenue, in comparison to last year, increasing 35%, net income increasing 33%, very pleased with the EBITDA results, increasing 70%, way more than -- almost double than the revenue, which speaks about the improvement in our operational efficiencies and enjoying the growth. We showed a $6.5 million positive swing in cash flow comparing to the same period last year -- I mean, the cash flow from operations. And despite the fact that our revenue is growing, our backlog is also continuing to grow, which means bottom line is that we are receiving more POs and more orders and we are securing more business to -- for the future than what we are selling. And basically, all the signs are positive signs when we look into the future. A few words about the industry and the way that we look at the industry and how it affects us or where that it meets us. So, I'm sure that it's not going to be news to anybody that the industry is going through some very interesting period where we see demand -- major demand both on the OEM, new manufacturing and on the MRO and the aftermarket and services. Major demand for new aircraft, passenger flights are increasing all over the world, huge demand for new aircraft in Asia. The aircraft manufacturers are really struggling to ramp up from COVID. Supply chain is still challenging in aerospace. And the result of all of this is that you see capacity from the aircraft manufacturer that while it's increasing, it's not meeting the demand. We are hearing eight years and 10 years lead time to receive a new aircraft. It forces the airlines to continue operating fleets that they were supposed to retire and/or in some cases even bring back to operations aircraft that were already divested and moved to storage. All of this creates huge pressure on the MRO. And part manufacturers, especially on the APUs and landing gears, part manufacturers find themselves struggling because they have demands both on MRO and OEM, and supply chain is disrupted. All of this is representing both opportunities and challenges to industry players like TAT. On one hand, we are enjoying the demand. We see increasing demand both on the OEM and on the MRO side. And some of the demand comes from contractual customers, but we see an increasing portion of the demand coming from non-contractual customers that have contracts with other vendors that are struggling and they are coming to us. On the other hand, we are experiencing the same challenges with supply chain and we are -- that is based on what we are hearing in the industry from the industry leader is not expected to show a better performance before the end of next year. So, there is a hope, I would say, expressed by the industry leaders that supply -- their supply chain will stabilize at the end of next year, time will tell. And we took all the measures in the last few months to strategically source parts that we will need for next year. You can see it in the increase in our inventory. And what we are trying to do is to turn the challenge into opportunity for next year, but by ensuring that we will have all the parts that we need to secure the demand that we believe that will come. So, in terms of visibility, when we look into the future, long term, we see improvement in our visibility, we have the long-term order, the long-term contracts that we secured, we are seeing an increase in the amount of purchase orders that we receive on the OEM side for next year and the following year, higher than ever in the past. And while we are not publishing looking-forward statements, we can say that we are enjoying a funnel of opportunities that is way larger than what TAT ever saw in the past. So, all in all, when we're looking into the next three years, very positive signs that the growth is going to continue and demand is definitely in the rise. Short term, we have to bear in mind two factors. First of all, the supply chain, it's not an area of concern, but we need to be mindful of it. We are -- a big challenge of constantly making sure that we have the parts, not always finding the parts in the right price that we would like to have and we are still buying them, which affects -- have some effect on gross profit, but making sure that our key advantage being a smaller player than the big industry player is our ability to move faster and to be more nimble and find the solutions that we need to continue and support the market. So, it's always a challenge that we are basically dealing with on a daily, weekly basis, so far with success. And you need to remember, short term, also some seasonality. Historically, when you look at the performance over -- in the fourth quarter of the year, there is always seasonality. Most of the -- on the MRO side, typically, commercial airlines are consuming more and more work during the summertime. When it's hot, in the peak season, when they are flying a lot, they have more repairs to do than in the winter. And the second factor on the commercial -- on the cargo carriers, typically, in preparation for the holiday season, they prefer not to do maintenance and keep their aircraft flying. So, not expecting any big increase over there. A quote that was made by one of the industry leaders a couple of weeks ago that I really like. He said that revenue for next year will be determined by -- will not be determined by the opportunities, but it will be driven by the supply chain and capacity. And I love this statement because I think this is a good reflection of where we see ourselves going into next year. We have lots of opportunities across all business segments and -- both on the OEM and the MRO across the business lines that we have. And the name of the game for next year as far as I'm considering is to make sure that we have the parts and that we have the capacity to support the growth that is coming. So, that's on the market and visibility and impact on TAT. Another point that I would like to say before I finish is that TAT key focus is not just on growing revenue, but it's on improving profitability. And I think that Q3 is another demonstration of our ability to unlock operating leverage. As we grow the business, as we continue to -- we hired a lot of people at the beginning of the year. It takes time for -- to get the efficiencies and the utilizations and whatever, our supply chain is getting more and more [sharper and the ability] (ph) to find the right parts in the right cost. All of this is affecting our profitability and it's a key initiative for the coming year to continue and improve to what we consider to be best-in-class in the industry. So, all in all, before I hand the presentation to Ehud, we are pleased with the results. The trajectory is good. We feel confident about the coming few years and our ability to continue and show good performance. Company went through a major transformation in the business during the years of COVID. We invested in the new strategy, organizational structure, strategic contract, entering new product lines, the growth that we see over the last two years just reflects the beginning of the opportunities that the company is enjoying these days. And I'm saying the beginning, because the way that I expressed myself, I'm saying it's -- we are just scratching the surface of the opportunity. When you look at the market size, the demand in the industry, there is a lot of room to grow and the demand is there. So, we are very optimistically looking forward. And with that, I will let Ehud go over the financials.
Ehud Ben Yair: Thank you, Yigal. Happy to be here, happy to present another quarter, very good results. I will go through the numbers, and we'll give you some -- also some key indicators. So, looking at the Q3 of '24 compared to Q3 of '23, revenues went up to $40.5 million compared to $29.9 million in the same period last year. That's an increase of 35%. The thing that will follow us through the whole presentation is that not only the company is growing its revenue, but we are also quarter after quarter, improving our profitability. So, you can see here that the gross margin went up to 21% compared to 19.4%. The operating margin, which almost doubled compared to the previous period, went up from 5.9% to 8.5%. The adjusted EBITDA, again, the same trend, went up by 70% from 10.1% out of revenue into 12.6% in Q3 of '24. And net profit also increased by 33% from $2.2 million to $2.9 million in this quarter. Same trend, if we're looking at the nine months period of time, so revenue went up to $111.1 million compared to $82 million in the same period last year. Gross margin went up from 18.9% out of revenue into 21.2% out of revenue, an increase of 230 basis points. Operating margin, the same, doubled compared to -- almost doubled, 2% -- almost doubled from $4.2 million to $8.4 million and moving up from 9.5% out of revenue to 14%. The same goes with the adjusted EBITDA that went up from 9.3% to 11.8%, and the net profit from $4.3 million to $7.6 million, representing a 77% increase compared to the previous periods. Looking at the last four, five quarters, again, you can see that constantly, all of the parameters are growing up. So again, we are very proud with the fact that we are increasing revenue. And by the way, we are looking and monitoring our peers in the industry, and we see that we are growing our revenue on a much faster pace compared to our competitors with similar companies to us. But again, not only this, we're improving all of the profitability parameters, and you can see it here on the slide quarter after quarter. I must also draw your attention to the fact that in Q2 of '24, gross margin was 21.9%, and it went down to 21.1% in Q3 of 2024. Going deep into understanding the company, so you know that we have several strategic segments. Within those segments, we have different products. And within the different products and services, we have different customer with different profitability. So, from time to time, the mix of revenue could show either an increase or a decrease in the gross margin. And again, it's nothing really to be a concern of, but just draw attention to the fact that the blend of revenue can affect the gross margin. Nonetheless, you can see that the gross margin is improving quarter after quarter, and we're very proud of it and the same with all the other profitability margins. In terms of revenue from our strategic products, so the heat exchange activity, which represents both OEM and MRO activity, went up from $12.9 million to $16.6 million, representing a 33% increase year-over-year. The APU activity went up from $8.2 million to $10.5 million, another 27% increase in the APU activity. This is all MRO. And the trading and leasing, which is -- part of it is seasonal and part of it is an opportunistic model, went up from $1.9 million to $5.7 million. Again, the $5.7 million in this quarter does not represent an average level of revenue in this segment. It's really kind of an opportunistic deal that we did in this period of time. And landing gear, this is the key area where we struggle with supply chain. We have many orders and many sets that are waiting to be repaired, but here in this segment, the supply chain is really hitting us strong, and it is very difficult to grow the revenue quarter after quarter. Nonetheless, we are working very hard on it. We are buying all the needed parts, and we are hoping that entering into 2025, we will see a much higher revenue number in the results. So, that's about the segment. Next few slides, just to illustrate to you again the trend that the company is facing in the last two years or ever since we went out of COVID. So, we're highlighting the positive trend of the industry. You can see that the revenue went up from $21 million in Q3 of 2022 to up to $40.5 million, well, doubling the company in one year in terms of revenue. We're very proud of it. The same you can see here in terms of gross margin. So, the gross margin went up from $3.4 million two years ago to $8.5 million, more than doubling the gross profit. And the margin also went up from 16.4% in Q3 of '22 to 21% this quarter. Same goes with the operating profit, but with a much, much stronger base. Again, we managed to transfer all of our efforts not only to grow the business, but also to improve our internal efficiencies and make sure that we're making more and more money quarter after quarter. The same goes with the net income that was negative in Q3 of 2022 and went up to almost $3 million, $2.9 million in this quarter. Another element that needs to draw attention is the backlog. So, the backlog is really -- or the backlog and the LTAs is really a combination of all the long-term contracts that we signed during the year according to the segment. So currently, at the end of this quarter, we have $423 million in our LTA and backlog. 52% of it is coming from the heat exchange segment and 26% of it comes from the APU segment. And again, as Yigal said, we're expecting in the coming year to see that the APU segment will grow and take a larger portion in the pie of our backlogs and long-term agreements. In terms of the business breakdown, so at the end of Q3 '24, 80% of the revenue are coming from the commercial activity and 18% is military. So, I would say that two years ago, it was 30% military and 70% commercial. So, the company is growing more and more and more in the commercial segment. And so, the portion of the pie in the commercial is currently 82%, and we expect to continue growing the company from the commercial activity. In terms of MRO and OEM, 30% are OEM activity and 70% is MRO. This is constant in the last several quarters. And in terms of the geographical breakdown, North America contributes 75% of the revenue, Europe 11%, and the rest of the world is the rest. Again, this is also very constant in the last several quarters. And by this, I will pass the pitch to Yigal for a short summary.
Yigal Zamir: So, bottom line, just to summarize this short presentation, we are optimistic about the future. The industry trend is going in the right direction. Demand is high. We are well positioned with the right products, with the right capabilities. I think that we are doing -- company is doing a good job overcoming supply chain challenges. It's never perfect, but we are probably doing what we need to do in order to be ready for next year. And we have a lot of capabilities that we can leverage in the coming few years. So, looking forward optimistically into '25 and '26. And that's it basically for today from our end. We'll go to the Q&A session now.
A - Matt Chesler: Thank you, Yigal. We're now going to open up to the Q&A session. As a reminder, there are two ways to ask a question from the Zoom webcast. The first is to use the Raise Your Hand icon, which is at the bottom of your screen. Clicking this will alert us that you'll want to be called on to ask a live question, and then you'll be placed in a queue when called on. And then just note, you're going to be on mute until you are called on. The second way to participate is to use the Q&A widget, which I know a number of you have already done, and that'll allow you to type in and text your question in and I'll read that out. We'll take questions from there as well, but just note if we run into a time constraint, somebody from the IR team will get back to you, if your question is not asked on today's call. With that, we'll now begin and pause for a moment to build -- to further build the queue. Let us begin with a submitted question from [Sergey Muscaro] (ph). It is on margins. Does the gross margin have further upside potential? How should we think about gross margins going forward?
Yigal Zamir: What we are saying in the last few months is that when we are comparing ourselves to competitors, unfortunately, most of our direct competitors are not publicly traded, so you can still not see the data online, but we've been exposed to financial reports of what we consider to be best-in-class companies in our field and we are saying that we want to be above 25% in gross margin. I'm not making here a looking-forward statement or guaranteeing that by when it will happen, but we are working very hard and we are considering 25% gross margin as a threshold that the company needs to meet and realistically should meet it.
Matt Chesler: There was an additional question that Sergey had. When should we expect 131 sales to start ramping up?
Yigal Zamir: So, this year -- the way that we are looking at 131 and also the 331-500, the APUs that are serving the Boeing 737, Airbus 320 family and the Boeing 777, we gained full capability and FAA approval to start providing services about a year ago. We made a strategic decision to start with our one-off deals. Basically, we're doing one engine at a time and not to pursue a large contract to start with. A few reasons for it. First of all, we need to gain operational efficiencies and expertise of how to perform the work on this engine, basically learning how to crawl and then to walk and then to run, but more important than this, we needed to build the financial model that will enable us to build on large contracts. You need to remember that most of the airlines when we bid, the vast majority of the contracts are with a fixed price. So, you take an engine to the pieces, you have hundreds and hundreds of different parts. Some of them needs to be replaced, some of them needs to be repaired, some of them you can buy from the market, some of them you need to buy from the OEM. It's a very complex statistical model that you need to develop, and it only comes with experience. So, we said this year, we are going to chase the one-off engine. It will help us to build the statistical model. It will help us to better understand how it works with these engines before we go and commit to a five- to 10-years fixed price contract. So, having said all of this, we are getting the engines, we are doing the work, we are developing the -- we are doing what we said that we will do. We have a very large opportunity funnel going into next year in '26. We probably have more RFPs in the making than what TAT ever saw. There is a huge demand from engine in the market, not too many competitors that can even offer the support to airlines around the world. And so, very large opportunity funnel and we will update and inform the market when we actually secure these contracts.
Matt Chesler: The next -- there's a next question from [Robert Marson] (ph) on EBITDA margin targets that I want to combine with a separate EBITDA question that was emailed in directly. And it is that, can you share some longer-term EBITDA margin targets as you scale your revenue up to $300 million run rate? And also, what are some of the main levers of EBITDA margin expansion that you expect to pull on over the coming years as you scale the business?
Yigal Zamir: Yeah. So, I should have probably mentioned it earlier when I mentioned the above 25% gross margin is a number where we want to see the company. I should have mentioned that we want to also be above 15% EBITDA. So, the specific answer is above 15% EBITDA as a company goal that we want to achieve, and we believe that it's achievable. In terms of how to get there, there are a few aspects. First of all, we invested a lot in establishing the infrastructure for growth. I mean, the manpower, the executive team, the group office that we established in Charlotte over the last three years. So, major investments in the organization and to developing the infrastructure to support the growth. Most of these investments in human capital were already made and we are today well-positioned to support a much larger company. So, the size will bring better margins. The second factor is the efficiency -- operational efficiencies, huge opportunities to gain operational efficiencies. As prices stabilize, as supply chain stabilize, and we can go back to sourcing the right parts in the right price. These days, we are searching for parts and, in many cases, we buy the parts in a higher price than what we should in normal times, because the supply chain is disrupted and we don't have access to the right parts in the right prices. The trend is positive. It will stabilize. It's just a matter of time. As the industry stabilizes and the supply chain is getting more back to normal, if you will, we will have -- we will see the benefits coming on the operational efficiency. Another factor is the employee utilization and efficiency. We hired lots of new employees to our shops. It takes time to learn how to do the work efficiently. We are not going to give up on quality or any other regulatory demand. So, there is a very long learning process. It takes many, many months to certify a new -- a good technician, a good engine technician to be certified to perform the work on our -- on a specific engine takes up to six months, then it takes a few more months until they learn how to do it efficiently. So, with time and with experience, we gain more and more benefits and it should reflect on the profitability.
Matt Chesler: Just a reminder for our participants, to ask a question, please either Raise Your Hand or submit a question via text and we'll read it out. The next question is from [Eran Frenkel] (ph), regarding heat exchangers. Can you elaborate on the backlog such as the type of aircraft and platforms, and also elegant type of heat exchange? And while you're at it, is heat exchange production in the U.S. or still in Israel?
Yigal Zamir: Okay. So, first of all, heat exchangers, we have OEM production, where we are a Tier-1 supplier to Boeing, to Textron, to Embraer, and to several other system manufacturers, and we have the MRO, the aftermarket work. Heat exchange production, the OEM production is split between Israel and our facility in Tulsa. And the MRO -- or the vast majority of the MRO work is being done in the U.S. On the OEM, as I mentioned, we serve -- we work with Boeing, so you can see TAT products on many of the Boeing aircraft, 737s, 777 and such, Textron Aircraft and Embraer Aircraft. On the MRO, on the aftermarket side, I believe the TAT is -- probably we have the largest capability range in the industry. We serve many different types of aircraft, Airbus, Boeing and many others. By the way, commercial and military -- also on the OEM, I forgot to mention, it's commercial and military. And we have the capability to support and to repair and to overall units -- all the units that we are producing as OEM obviously, but also many other units that we don't have -- where we are not the OEM producer, but we are one of the industry leaders in the -- on the overall side. I hope that answered all the questions.
Matt Chesler: Okay. Then moving on. Can you clarify the comments you made about the seasonality in the business? What type of seasonality do you typically expect? Did we see it last year and what did we see this year?
Yigal Zamir: Yeah. Well, I don't think that we can talk about any -- about the last year or the three years before that is anything normal. It was completely crazy. Last year, we had a huge backlog of work that we couldn't keep out and we were struggling to find materials and parts and whatever. Getting out of COVID, the industry was in such a big mess that the issue was not revenue. The issue was how to find the parts and how to find the employees and make sure that we have what it takes to catch up with the customer demand. But if you look at the comments -- by the way, there is no big drama in aerospace. I've been in TAT for nine years. We never saw any big spikes or dips. But traditionally, split it into two sections. So, first of all, cargo, which is a -- substantial portion of TAT business is cargo operators. They tend to minimize repairs during the top season before the holidays. They try to keep their fleet flying during the holidays. They do more repairs in the summer. Obviously, when they have failure, they have to repair. But the general thing, when it comes to plan, the maintenance, they try to minimize it during the fourth quarter and do more of it in the summer. And when it comes to commercial airline on the MRO side, just because of the volume of traffic during the summer months and the high temperature, you tend to see a little bit more demand for repairs. OEM is stable. I don't know that we have any seasonality on the OEM. On the military side as well, we don't have any seasonality. So typically, if we look previous year before COVID -- we cannot draw any conclusion from the last two years, but if you look historically, fourth quarter tends to be more flat comparing to the previous quarter and not expecting any big spike, positive spike, if you will, but also not expecting any decline or anything.
Matt Chesler: And then, there is an additional question from Robert Marson around United States. Can you talk about any efforts to domicile in the U.S. and to get more American investors into the shareholder base?
Yigal Zamir: Okay. Can you please repeat the question? I'm not sure that I understood it.
Matt Chesler: Can you talk about any efforts to domicile the company in the U.S. and to attract North American investors into the shareholder base? Perhaps talk a little bit about the presence in North America, some of the marketing efforts and the outreach that we're all collectively doing to expand and diversify the shareholder base.
Yigal Zamir: So, well, if you think -- I'll say a few words and maybe Ehud would want to add a few things. But first of all, if you look at our business, most of the business in the U.S. employees, let's start with our group office. We are all based here in Charlotte, North Carolina. If you look at the employee count, most of the production and most of the customer base, I would say, it's more than two-third in the U.S., North America, if you will. And the company is really from the U.S., but having said this, we are making tons of efforts to expand all over the world activity. The fastest growing market in aerospace is APAC and China, and we definitely want to be larger there and we are making effort. U.S. [indiscernible] we just started couple of months ago, the activity, definitely planning to do much more. Even this call today, first time that we have an earning call with U.S. investors. Historically, it was done only with Israeli investors. So, definitely looking forward to expanding the activity -- drastically expanding the activity and to become much more involved in the U.S. market as the company grows and shows performance that is more in line of U.S. investor expectation.
Ehud Ben Yair: Yeah. Just to add on it, obviously, we're spending a lot of time and effort, again, to selling the story to the investors' community. We already participated I think since June when we started the program. We participated in two large conferences, one in New York and one in Los Angeles just two weeks ago. And we expect to participate in another important conference in New York on December 11. And hopefully, we'll be -- we'll have the time and the opportunity to meet each one of you.
Matt Chesler: Okay. We have an additional question here from [Sergio Eber] (ph). Can you spend a moment to talk about the competitive landscape across your businesses? Who do you consider to be primary competition?
Yigal Zamir: Yeah. So, I would say one thing that we as part of our strategy, we the big strategic shift that we had in the last few years, we decided to focus the companies on key areas of the four pillars that we have today in the strategic products, heat exchanger, APUs, lending and trading. But the key consideration was that we want to be one of the industry leaders in what we do. So, we don't want to go into commodities. We don't want to be just another vendor that does something. And if you look at aerospace and the areas where we're active, we are there in a sense that we are a non-entity, we are a significant player. I believe that on the heat exchangers, we are one of the leaders in the industry in terms of size and performance. But also when you look at APUs and landing gear, with our vast experience in the types of products that we are providing services, we are definitely a known player in the industry. In most cases, we have several competitors, many of them, I would say, you can split them into two. The OEMs themselves are competing with us. So, we go after APUs and we are competing with Honeywell, which is the OEM for the APU. If we go after a large contract or on the heat exchangers, MRO, if we go after a large airline business, we will compete -- we will probably be competing with the OEM on the heat exchangers, where again, whether it's Honeywell, Liebherr or Collins. But in all cases, across all product lines, you will see that we have anywhere from one, two to maybe at the most four, five competitors. So, the world is very large, but when you look at aerospace and how many players have the capacity and capability to do a certain type of work, it's only a handful of them. And so, lots of opportunity to build momentum and to make progress if you are providing better service than the others. And none of the services that we are providing are considering to -- considered by our customer to be a commodity. So, price always play a factor, but the service, the quality, the reliability, being able to solve customer problem is another key factor that we are working very hard to improve and to stand out as a better provider than competition.
Matt Chesler: So, we had had an earlier question regarding backlog, but I think it was specific to heat exchangers. Can you talk overall about the company's backlog? What it means? Is it the full annual potential revenue over certain number of years? How would you like investors to consider that metric?
Yigal Zamir: Okay. So, when you think about heat exchangers, what we present in the backlog and LTA value, it consists of two -- actually, it consists of three different elements. On the OEM side, we are under contract with the Boeing, Textron and Embraer and others, and they are providing us their forecast based on what they are planning to build in the next few years. So, when we look at the next few years, the forecast is used as part of the long-term value that we have. As time goes by, the forecast is being replaced with purchase orders. For the -- in most cases, we have full coverage of purchase orders already for '25. So, once we get the actual purchase orders for next year, we are taking out the forecasted number and we are replacing it with the actual POs that we are receiving from the customer. So, on the OEM side, what you see is the forecast for the coming few years and next year actual POs. By the way, in most cases, the actual POs that we are receiving these days are higher than what we have in the forecast. We see a major increase in demand from the OEMs. On the MRO side, once we secure a contract, if we win a contract with a major airline and they give us their historical data and they tell us how much they expect to use us during -- for the duration of the contract and that's the number that we plug in for the duration of the contract, once we get the actual intake, the actual work, obviously, it replaces the forecast with the actual work that we have in the building to perform. And again, here when we look at this year, so far year-to-date, in all cases, we received more, actually substantially more than what we had in the original forecast from, I would say, almost everybody, with few exceptions, most of the customers are shipping us more than what they anticipated at the beginning of the year.
Matt Chesler: Thank you, Yigal. So we -- there are additional questions, and I just pledge that the IR team will get back to you after the call to help provide you with answers to those questions as we are up against our time. Yigal, I'd like to turn it over to you for brief concluding remarks.
Yigal Zamir: So, first of all, again, I want to appreciate everybody for taking the time to join us today. We're looking forward to seeing you in person in one of the conference calls or definitely to address any question that you have if you contact us directly. We are happy with the results. The company is on a positive trend. We are looking forward optimistically into the coming two years. We have lots of opportunities. We feel that our new strategy is working for us. We have lots of leverage that we can exploit in the next few years, and looking forward to some -- to continue making progress. So, thank you very much.